Operator: Greetings. Welcome to Easterly Government Properties First Quarter 2022 Earnings Conference Call. . I will now turn the conference over to Lindsay Winterhalter, Vice President, Investor Relations. Thank you. You may begin.
Lindsay Winterhalter: Good morning. Before the call begins, please note the use of forward-looking statements by the company on this conference call. Statements made on this call may include statements which are not historical facts and are considered forward-looking. The company intends these forward-looking statements to be covered by the safe harbor provisions for forward-looking statements contained in the Private Securities Litigation Act Reform of 1995 and is making this statement for the purpose of complying with those safe harbor provisions. Although the company believes that its plans, intentions, expectations, strategies and prospects as reflected in or suggested by those forward-looking statements are reasonable, it can give no assurance that these plans, intentions, expectations or strategies will be attained or achieved. Furthermore, actual results may differ materially from those described in the forward-looking statements and will be affected by a variety of risks and factors that are beyond the company's control, including, without limitation, those contained in IM1A risk factors of its annual report on form 10K for the year ended December 31st, 2021, which was filed at the FCC on February 28th, 2022 in its quarterly report on form 10Q for the quarter ending March 31st, 2022, to be filed with the FCC on May 3rd, 2022, and in its other FCC filings. And risks and uncertainties related to the adverse impact of COVID-19 on the US, regional and global economies and the potential adverse impact on the financial condition and results of operation of the company. The company assumes no obligations to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. Additionally, on this call, the company may refer to certain non-gap financial measures, such as funds from operations, funds from operations as adjusted and cash available for distribution. You can find a tabular reconciliation of these non-gap financial measures to the most comparable gap – current gap numbers in the company's earnings release and separate supplemental information package on the investor relations page of the company's website at ir.easterlyrate.com. I would now like to turn the conference call over to Darrell Crate, Chairman of Easterly Government Properties.
Darrell Crate: Thank you Lindsay. Good morning and thank you for joining the call. As I look at the call attendance list, I see the recent decline in stock price has attracted some equity generalists in addition to our regular rate cohort. Welcome. Given the audience, let me step back for a moment and speak to how we are viewing this period of rate reorientation in the bond market. Obviously, the market is very concerned and uncertain about how the yield curve will change shape over the coming months and how assets will reprice. What we see today and for the last year is a separation in how our assets are valued by the public market versus the private market. As debt capital becomes more expensive, we believe this disparity will diminish, our competitors for acquisitions will have less access to cheap leverage and development competitors who anticipate cap rate compression will no longer participate in the market. We can imagine that this reduction in purchasing power will push up cap rates and that's a very healthy dynamic we have not seen in years. We're very pleased with our existing portfolio. While some investors are focused on the flat nature of our leases, which is not an optimal headline in a rising rate environment, I observe the quality of our buildings as strong and enduring. The value of these assets is supported by their replacement costs as the alternative for the government upon releasing is to build or redevelop an alternative site. As we've all observed construction costs are accelerating, which translates into elevated NAV for our buildings. The cash flow from that value growth will be realized upon release. In addition, there's a second dynamic that can improve our re-leasing results. Replacement costs will further increase as developers who have been pricing new constructions aggressively based upon the assumption that cap rate compression will continue and using cheap debt those folks will be leaving the market. Both of these dynamics improve the environment for same store NOI growth over time for our portfolio. Turning to the balance sheet. While we have been envious of companies with substantial floating rate debt for the last decade, we're pleased that we had locked in our debt costs and the duration of our liabilities is in line with the duration of our leases. These debt obligations provide value for our shareholders. While the transition to a new steady state in the debt markets will be bumpy, we are optimistic that the environment will present a more fertile environment for a defined edge in the government lease space to create value for our shareholders with substantial cash flow backed by the full faith and credit of the United States government. Further, given our audience today, I'll share a brief summary of the progress we've made during the last 7 years as a public company. We've scaled our platform, either wholly owned or through joint venture from 29 to 89 properties, maintained the trajectory of external growth through creative acquisitions and non-speculative development, strengthened our portfolio through a strict adherence to the bullseye acquisition strategy while adding significant scale to that platform, fortified our investment-grade balance sheet with a highly fixed rate structure with long data debt maturities, a recipe viewed favorably by the rating agencies. We've captured an aggregate contractual rent due from the US government from 360 million to 2.7 billion. All of this has been achieved through the consistent and dependable execution of our core investment thesis. We are real estate without the drama that thrives in many macro conditions. When faced with inflation, the in-place portfolio is even more attractive at the time of renewal, when the alternative is a new build to suit construction. When faced with recession, there's no better tenant to have than the United States federal government. When based with rising rate environments, we're pleased that 96% of our fixed rate structure with long dated maturities exists. And finally, when faced with global pandemic, as we saw, we're confident in the mission criticality of our buildings and the need for our federal workforce to work from our facilities versus at home. In closing, the fundamentals of our business are strong, our prospects for value creation are excellent. The credit quality of our underlying tenant with leases backed by the full faith and credit of the us government remains the best` of any public read with a current dividend yield of roughly 5.5%. We thank you for your continued partnership and engagement as we work to grow this premier portfolio of real estate assets leased to the United States federal government. And with that, I'll turn the call over to Bill to give you insights into the first quarter results.
William Trimble: Thanks, Darrell and good morning. Thank you for joining us for our first quarter earnings call. Just after the first quarter, we were pleased to add VA Birmingham through our joint venture, the fifth brand new VA facility of our previously announced 10 building portfolio. This mission-critical clinic is approximately 77,000 square feet and provides state-of-the-art care to our veterans through a multitude of important medical functions. Including VA Birmingham, we expect to close on approximately 145 million of this portfolio throughout 2022. In addition, we've seen a strong pipeline of opportunities outside of this joint venture and look forward to announcing additional acquisitions as they take place. I think it's important to look at the current state of the government lease market, as we have seen the 10-year treasury increase by over 100 basis points since we signed the PSA for the VA portfolio last summer. Until recently, our market has been the beneficiary of increased institutional interest for several important reasons. First, private equity understands the unique inflation hedge GSA lease structure that protects us, as landlord, from inflation induced operating cost increases and have gotten more active in the space. Second, while regular office has been challenged with occupancy and long-term post-pandemic space requirements, the US government is back to work and continues to require build-to-suit space to conduct their missions. In our bullseye corner of the vast 550 million square foot US lease market, the government continued to utilize our facilities throughout the crisis. Work from home really was not an option for the FDI, DEA, CBP, FDA, and others, and the laboratories supporting these critical agencies. President Biden announced the return to office for the rest of the US government employees at the State of the Union Address several months ago. On the current market, reflecting recent sales, assets that resemble our portfolio's attributes with 8 years or more of lease term remaining, a comparable mission profile and our recent renovations or build-to-suits are generally commanding a 5.25 cap rate. FBI field offices, laboratories, and new outpatient facilities within 15 to 20 year remaining lease terms are inside of that, commanding closer to a 5-cap. We are very pleased that our seasoned global JV partner understood that dynamic almost a year ago and moved forward with us on a portfolio that, based on current marketing conditions, appears to have already seen a great increase in applied value. We believe that we will see a turn in cap rates at some point sooner rather than later, as the FED continues to increase rates. We continue to see potential CAT accretive NAV-enhancing transactions and will continue to focus on only the best opportunities within our universe. Turning to leasing updates. Our asset management team continues to secure renewals that lengthen the duration of our government-backed cash flows and enhance the portfolio of NAV. In the first quarter, we renewed 2 important leases, EPA, Kansas City, as well as the lease at FBI Birmingham, both for 20-year non-cancelable terms. These 2 renewals with a combined 2.7% of our annualized lease income launched what we hope will be another successful renewal year for our seasoned asset management team. The remaining renewals for 2222 include the DEA laboratory in Dallas, the FBI field office in Little Rock and the ICE facility in Louisville, Kentucky. As of core end, negotiations on these 3 leases are underway and we look forward to providing updates in future quarters. Our FDA Atlanta laboratory project is now on the final stages of design drawings, which should lead to a restart in the near term. We estimate this facility will be delivered in the second quarter of 2024. In closing, we're off to a strong start in the New Year with the acquisition of VA Birmingham facility and a strong pipeline of actionable opportunities. As always, you can expect the Easterly team will continue to execute on its disciplined strategy of acquiring the most important assets leased to the federal government. We will continue to work with the GSA and underlying tenant agencies on upcoming renewals and look to non-speculative development opportunities that can provide attractive returns. We've enjoyed seeing our investors in person once again and look forward to upcoming conferences and investor meetings in the not so distant future. With that, I thank you for your time this morning, and I will turn the call over to Meghan to discuss the quarterly financial results and capital markets executions.
Meghan Baivier: Thank you, Bill. Good morning, everyone. It gives me great pleasure to post another strong quarter. We commenced another strong year here at Easterly. As of March 31st, we own 89 operating properties comprising approximately 8.6 million leased square feet, either wholly owned or through our joint venture, with one additional development project in design totaling, approximately 162,000 square feet. Through the acquisition of newer facilities the weighted average age of our portfolio remains young at 13.9 years. Successful long-term renewals of existing properties have also allowed us to grow our weighted average remaining lease terms to an historic high of 9.8 years. This represents a year-over-year lengthening of our weighted average remaining lease term of 1.2 years. Maintaining a young portfolio age and a long weighted average remaining lease term is reflective of our strategy of owning relatively new built-to-suit assets with enduring missions. This strategy provides this with distinctive future cash flow visibility, which in turn allows us to prudently manage the company's balance sheet and support our highly creative acquisition and development project pipeline. Turning to our first quarter results all on a fully diluted basis, net income per share was 8 cents, FFO per share was 33 cents and FFO as adjusted per share was 31 cents. Our cash available for distribution was 28.8 million. Turning to the balance sheet. At quarter end, the company had total indebtedness of approximately 1.2 billion with approximately 415 million available on our line of credit for future acquisitions and development-related expenses. As of March 31st Easterly's net debt to total enterprise value is 35.9%, and it's adjusted net debt to annualized quarterly EBITDA ratio was 6.7 times. With a weighted average debt maturity of 6 and a half years, a weighted average interest rate of 3.5% and 96% of all outstanding debts fixed at attractive levels, I am particularly pleased with our company's positioning, as we enter a rising rate environment. During the first quarter, Easterly issued approximately 435,000 shares of the company's common stock sold on a forward basis at an average net price to the company of $21.63 per share. With the settlement of these shares in the first quarter easily received approximately 9.4 million in net proceeds. At present, Easterly expects to receive net proceeds of approximately 92.5 million from the sale of an aggregate of approximately 4.3 million shares of the company's common stock that have not yet been settled, including the remaining 2.3 million shares pursuant to the company's third quarter 2021 underwritten public offering, and 1.95 million shares from sales under the company's 300 million ATM program, assuming these 4 sales transactions are physically settled in full using a net-weighted average combined initial forward sales price of $21.72 per share. As Darrell and Bill mentioned an inflationary environment serves as a real strategic benefit for Easterly compared to other rates. Due to the build-to-suit nature of our assets, the cost of constructing another facility upon lease expiration is increasingly less desirable for the government and our existing asset is further distinguished as the natural cost-effective renewal option for the GSA and the underlying tenant agency. Further, the unique nature of our leases allows for operating expense protection. While shell rent in most of our leases is flat GSA leases generally contain an operating expense space, which grows uncapped with increases in urban CPI, thus protecting us against NOI degradation in an inflationary environment. To be clear, the relevant urban CPI index as of March 31st, 2022 was 9.4% higher than 1 year ago. Turning to our earnings guidance. The company is maintaining its FFO guidance per share on a fully booted basis in a range of $1.34 to $1.36. This guidance is predicated upon 200 million to 250 million of wholly-owned acquisitions, the closing of properties in the VA portfolio totaling, approximately 145 million at the company's pro-rata share and up to 10 million in growth-development related investment during 2022. At its midpoint, Easterly remains on track to continue our record of steady FFO growth year over year. And finally, subsequent to quarter end our board approved in inaugural stock repurchase plan of up to 5% of the company's outstanding shares or approximately 4.5 million shares in total. This new tool in our capital markets toolkit will ensure we remain aligned with our consistent commitment to allocating capital in a way that drives the greatest value for shareholders. With that, we thank you for your commitment to our thesis and appreciate your partnership. I will now turn the call back to Sherry.
Operator: . Our first question is from Manny Corrigan with Citi.
Michael Griffin: This is Michael Griffin on for Manny. I'm curious, you know, you mentioned the share buyback program, kind of, how are you balancing capital for acquisitions versus the buyback program sort of going forward in the near term?
Meghan Baivier: Sure. I think it's – you know, it's, it's a fantastic tool as we – as we sit here looking at the stock today to be responsive to what the remainder of 2022 brings, be it an opportunity to recycle capital or to – to continue to address the strength of our balance sheet. It's – it's going to allow us the flexibility we need in the coming year.
Michael Griffin: Great. And on those future acquisitions that you mentioned, do you see them as more attractive in wholly-owned versus in any future joint ventures?
Darrell Crate: Well, I think that it certainly depends on the particular asset. We've mentioned before that there's a bit of a tale of 2 cities. While all of the assets have certainly increased in value rather remarkably over the last 12 to 18 months, we're seeing a real premium put on those longer-.term assets, those 15 to 20 year think brand new  clinic. Think FBIs, where I think we're seeing a lot of international interests. We're seeing a lot of private equity interests and those pricing are pricing, you know, 25, 50 basis points inside the other side, which would be a wonderful opportunity for our JV. We have a very long-term perspective on the value of these assets. On the other side of the equation, and you know, we see interest there as well, but those would probably be bought individually by us. So – and they don't really conflict with each other, which is certainly very healthy.
Operator: Our next question is from Michael Carroll with RBC Capital Markets.
Michael Carroll: I wonder if you could provide some color on overall private market valuations. I know, I think Darrell said in his prepared remarks that you expect cap rates to trend higher. But then you also said that your private market valuations or NAV's for your portfolio has increased fairly meaningfully over the past 12 to 18 months. I mean, how do we coordinate between those 2? What's – is cap rates going higher? Are they going lower? Or how should we think about that?
William Trimble: Let me start. And maybe Darrell can follow. I think, you know, you're in a transition moment. So several things are happening at once. There is a huge demand, certainly for all of our assets in the bullseye category. They are the occupied office asset. They're understood. I think we've done a great job explaining it to the world over the last 7 years of being public and they continue to draw a lot of attention. But at the same time we've seen the industrial world and other areas you're very familiar with, Mike, are beginning to make the turn as they reflect a change in trying to fight the FED, which in the long term, I think is never a successful endeavor. So, we're seeing both things happening at the same time, but you can be assured from our standpoint that we're going to be careful. We're very – we're very focused on being NAV accretive here at Easterly and in making sure we have the finest assets. So, we're looking at all sorts of different options in this particular market and not going to go out there and get crazy but continue to try to do the best for our shareholders.
Darrell Crate: Yes. I mean, I – and you know, we don't have a crystal ball, but one of the things that we know is true that so much capital is just flooded into real estate, broadly high quality assets and – and lesser sort of uniform, you know, lower scale assets or assets that are a little different. The cap rate compression among all of those just got tighter and tighter and tighter. And so as we look forward, I think there's a couple things that we see. There will be dispersion, you know, of, GSA leases among agency, among sides. And I think that's more opportunity for us to – to find value.
Michael Carroll: And then can you probably quantify where are the cap rates today for the types of assets in the bullseye that you're looking at and have they started to move higher yet? I mean, have you seen that when you're – when you're bidding on deals?
William Trimble: No, I think we're at 5.25. And you know, I think our entire portfolio would probably trade under that right now, just to give you an idea. So, it's – it's an interesting time.
Michael Carroll: Okay, great. And then with the – the stock repurchase program, how aggressive, I mean, can you be pursuing that? Are you willing to – to increase, leverage to – to pursue some of your buybacks? I guess, how should we think about that?
Meghan Baivier: Sure. So I think, you know, the tool, like I said, is meant to be responsive to multiple potential paths that we could take, be it, you know, returning the balance sheet in line post some recycling capital or interimly as we recycle capital. But you're right, Matt – Mike, you know, at 6.7 times, the turn of leverage, I don't think would – we've never believed would disrupt the ability of this cash flow to perform. And, obviously, a turn is...
Darrell Crate: Yes, no, the rating agencies and others would view that as a solid investment grade balance sheet. So I think we have a lot of flexibility.
Michael Carroll: And then would you pursue some asset sales? I know you kind of talked a little bit about capital recycling. Is that the plan is kind of being more aggressive for doing asset sales and then using that – those proceeds to buy back stock? Is that how we should think about it?
William Trimble: I think that's a great question. And I think that's another tool in our toolkit and – and, you know, obviously I think we see a lot of folks that understand the value of all of our assets and we're constantly looking at all of them. We do love our children. But you know, there's different buildings we have in the portfolio. We're always trying to drive to our particular bullseye and – and we have stayed very constant on that. We have a number of buildings we purchased a bunch of years ago that have been an incredible return to our investors at this point. And we've got a geographic footprint all over the country, and maybe there are some spots that are more difficult for us to service than others. So everything's on the table and you can expect us to do whatever we do very prudently and best thing for shareholders.
Operator: We have reached the end of our question and answer session. I would like to turn the conference back over to Darrell for closing comments.
Darrell Crate: Great. Thank you everyone for joining the Easterly Government Properties First Quarter 2022 Conference Call. We appreciate your time and we'll continue to work hard to deliver strong risk-adjusted returns for our shareholders for the years to come.
Operator: Thank you. This does conclude to today's conference. You may disconnect your lines at this time and thank you for your participation.